Operator: Good morning. My name is Emilie, and I will be your conference operator today. At this time, I would like to welcome everyone to the First Quarter 2018 Earnings Conference Call. All lines have been placed on mute to prevent any background noise. After the speakers' remarks, there will be a question-and-answer session. [Operator Instructions] Thank you. Dennis McDaniel, Investor Relations Officer, you may begin your conference.
Dennis McDaniel: Hello. This is Dennis McDaniel at Cincinnati Financial. Thank you for joining us for our first quarter 2018 earnings conference call. Late yesterday, we issued a news release on our results along with our supplemental financial package, including our quarter-end investment portfolio. To find copies of any of these documents, please visit our investor website, cinfin.com/investors. The shortest route to the information is the Quarterly Results link in the navigation menu on the far left. On this call, you'll first hear from Steve Johnston, President and Chief Executive Officer; and then from Chief Financial Officer, Mike Sewell. After their prepared remarks, investors participating on the call may ask questions. At that time, some responses may be made by others in the room with us, including Chief Investment Officer, Marty Hollenbeck; and Cincinnati Insurance's Chief Insurance Officer, J.F. Scherer; Chief Claims Officer, Marty Mullen; and Senior Vice President of Corporate Finance, Theresa Hoffer. First, please note that some of the matters to be discussed today are forward looking. These forward-looking statements involve certain risks and uncertainties. With respect to these risks and uncertainties, we direct your attention to our news release and to our various filings with the SEC. Also, a reconciliation of non-GAAP measures was provided with the news release. Statutory accounting data is prepared in accordance with statutory accounting rules, and therefore, is not reconciled to GAAP. Now, I'll turn over the call to Steve.
Steven Justus Johnston: Good morning and thank you for joining us today to hear more about our first quarter results. Operating results for the first quarter of 2018 were better overall than a year ago and reflect improvement in several important areas. Although net income was a negative amount for the quarter, operating income rose 22%. New accounting requirements this quarter resulted in recognizing in net income the change in unrealized gains for equity securities. In the past, these would have been reported in other comprehensive income and Mike will comment further on that. Our 97.9% property casualty combined ratio for the first quarter of this year was nearly 2 points better than a year ago. While the effects of lower catastrophe losses through the end of March helped the combined ratio by 4.8 percentage points, other non-catastrophe weather effects increased by 3.5 points and weakened results in our commercial lines and personal lines segments. Before the combined effect of both these weather-related effects, our first quarter 2018 combined ratio decreased by 0.5 percentage points, compared with first quarter of 2017. We saw results improve for our auto lines of business, while our excess and surplus lines in life insurance segments, as well as Cincinnati Re continued to report solid results. At the same time, premium growth initiatives continued as planned and we reported another quarter of higher investment income. Our commercial lines segment reported a 1% decrease in net written premiums in the first quarter of 2018. Timing of processing several larger policies reduced what we report as renewal premiums, although most of those policies ultimately renewed during the first few weeks of the second quarter. As we noted several times in the past, written premium trends can vary significantly for larger policies. That variation also contributed to new business premiums a year ago, growing at an unusually high rate of 18% and creating a tough comparison for this year. Maintaining the underwriting discipline can also cause short-term variation in written premiums, but we remain confident in our agency centered model to produce profitable long-term growth. As many of you know, we have the opportunity to meet with many of our appointed agencies in the first part of each year at our sales meetings. As we travelled around the country, one message came through loud and clear, our agents are eager to do business with us and our various service enhancements are making it even easier for them to place their best accounts with us. We also know from history that new agency appointments provide growth over many years. We typically earn 10% or more of an agency's business within 10 years of a new appointment. That is powerful, especially considering that new appointments over the past five years collectively represent agencies that write more than $24 billion from all companies they represent. Our associates will remain focused on supporting the outstanding local independent agents, who represent Cincinnati Insurance, as they carefully underwrite each policy and provide personal service to agents and their clients. Pricing remain generally steady as overall commercial lines estimated average price increases were similar to the fourth quarter, with commercial auto remaining in the high-single-digit range. Our personal lines segment continued its pattern of renewal and new business premium growth with high net worth premiums leading the way in new business. Estimated average premium increases for personal lines in total were similar to the fourth quarter of 2017 with personal auto average rate increases remaining in the high-single-digit range. Our excess and surplus lines segment experienced another outstanding quarter with a combined ratio of 68.8% and premium growth of 15%. Cincinnati Re had another quarter of profitable underwriting and premium growth, including the combined ratio of 81.8%. Our life insurance subsidiary continued its steady contribution to net income with first quarter 2018, matching the year ago, despite a decrease in investment gains and it grew term life insurance earned premiums by 8%. We continue to see benefits of diversifying our business over time, through growth of our life company, our E&S and our reinsurance assumed division. Our primary measure of long-term financial performance, the value creation ratio was negative 2.7% for the first quarter. While net income before investment gain or losses contributed 1.5 percentage points, rising 0.1 percentage points compared with the first quarter of 2017, lower investment valuations during the quarter resulted in the investment gains or losses component contributing negative 4.0 percentage points, compared with the positive contribution of 2.7 points a year ago. We're keeping our focus on what we can influence, the profitable growth of our insurance business. By doing that, we created a steady flow of cash that our experienced investment professionals can put to work. While the market will have natural variations, we believe our strategy of investing in high-quality bonds and dividend yielding stocks, combined with managing premium growth, to maintain healthy underwriting profits will help us create value for shareholders far into the future. Next, our Chief Financial Officer, Mike Sewell will highlight other important aspects of our financial performance and financial condition.
Michael James Sewell: Great. Thank you, Steve, and thanks to all of you for joining us today. First quarter 2018 was our 19th consecutive quarter of investment income growth with an increase of 1%, including 8% for dividend income. Following several quarters of increases in unrealized gains for our investment portfolio. The first quarter experienced a decrease in total investment gains of $412 million, before tax effects and nearly equal contributions from the bond and equity portfolios. Despite that decrease, we ended the quarter with a net appreciated value of nearly $3.1 billion, including more than $2.9 billion in our equity portfolio. During this quarter, we adopted the new accounting pronouncement ASU 2016-01, which effectively requires the change in unrealized gains and losses on equity securities to be reported in net income versus in other comprehensive income. Our value creation ratio continues to represent total return, it was not affected by the new accounting. Because we hold a larger amount of equities, our reported net income will be more volatile. But our non-GAAP operating income, we'll still exclude realized and unrealized gains and losses on investments, which we believe best reflects our core operating performance. To illustrate the volatility, consider that net income swung to a negative position in the first quarter 2018 reflecting a decrease of $156 million for the change in fair value of equity securities. Have the accounting standard been effective one quarter sooner, when stock market valuation to generally rising, our fourth quarter 2017 net income would have increased by $256 million. Taking a closer look at 1% growth in investment income. The bond portfolio's pretax average yield was 4.26% for the first quarter of 2018, down 23 basis points from last year's first quarter. That yield decline continues to reflect the effect of higher yielding bonds that are called or that mature. Taxable bonds purchased during the first three months of 2018 had an average pretax yield of 4.11%, 27 basis points lower than we experienced a year-ago. Tax-exempt bonds purchased averaged 3.32%, down 14 basis points from a year-ago. Cash flow from operating activities continue to provide funds for our investment portfolio. Funds generated from net operating cash flows for the first three months of 2018 totaled $154 million, up $18 million or 13% from the same period a year-ago. We continue to carefully manage expenses, while at the same time investing strategically in our business. Our first quarter 2018 property casualty underwriting expense ratio rose 0.6 percentage points from first quarter 2017, primarily due to a refinement in our deferred acquisition costs estimates and slower premium growth. As reported in our 10-K, we evaluate our capitalization of cost throughout the year. Absent amounts deferred total first quarter 2018 underwriting expenses relative to premiums were consistent with a year-ago. Next, I'll comment on loss reserves. While our consistent approach to setting overall reserves again resulted in first quarter 2018 property casualty net favorable development on prior accident years. The favorable reserve development benefit our combined ratio by 3.9 percentage points, 0.4 percentage point higher than what we averaged over the past three calendar years. It was against spread over most of our major lines of business and over several accident years, including 30% for accident year 2017, 15% for accident year 2016, and 55% for 2015 and prior accident years. Our commercial auto and in personal auto lines of business, each experienced a modest amount of favorable reserve development. For commercial casualty, our largest line of business, we maintain a prudent overall reserve position. And we have disclosed in several recent periods, rising paid losses prompted us to estimate the IBNR reserves at levels more likely to be adequate. For most prior accident years, we left IBNR reserves at levels that resulted in relatively small amounts of favorable or unfavorable prior accident year development during the first quarter of 2018. Accident years 2016 and prior in total represented net favorable development, while accident year 2017 was unfavorable due to several factors, including case reserve estimates for umbrella claims that rose more than we expected and drove the total prior accident year unfavorable development of $5 million. Commercial casualty paid loss amounts for the first quarter of 2018 were slightly less than a year-ago on both current accident year and prior accident year basis. But we prudently established IBNR reserves for the current accident year, approximately 10 percentage points higher than a year-ago. In terms of capital management, we continue an approach consistent with past both financial strength and financial flexibility, we're in excellent shape at the end of the quarter. During the first quarter, we repurchased a total of 200,000 shares at an average price per share of $73.72. As usual, I'll conclude with the summary of first quarter contributions to book value per share, they represent the main drivers of our value creation ratio. Property casualty underwriting increased book value by $0.14. Life insurance operations added $0.08. Investment income, other than life insurance from reduced by non-insurance items, contributed $0.42. Net investment gains for the fixed income portfolio decreased book value per share by $1.04. Net investment gains and losses for the equity portfolio decreased book value by $0.94. And we declared $0.53 per share in dividends to shareholders. The net effect was a book value decrease of $1.87 during the first quarter to $48.42 per share. Now, I'll turn the call back over to Steve.
Steven Justus Johnston: Thank you, Mike. While the first quarter had some noise in it, I'm encouraged by the steadiness of our results over the long-term. The key to this consistent results lies with our associates, who continue to deliver outstanding service to our agents and their clients, deepening our relationships with them. This spring we hosted associates from our commercial and personalized field marketing department and our loss control department at headquarters for training. I've enjoyed the opportunity to speak with them, and their enthusiasm for our company and our industry is catchy. Hearing their stories of success and the innovative approaches they take to overcoming challenges, enhances my belief that we have the people, the tools, and the strategies in place that will lead to long-term success. We appreciate this opportunity to respond to your questions, and also look forward to meeting in person with many of you during the remainder of the year. As a reminder, with Mike, Dennis and me today are J.F. Scherer, Marty Mullen, Marty Hollenbeck and Theresa Hoffer. Emilie, please open the call for questions.
Operator: [Operator Instructions] And your first question comes from the line of Arash Soleimani with KBW. Your line is open. Please go ahead.
Steven Justus Johnston: Good morning, Arash.
Arash Soleimani: Just wanted to - you may have mentioned this I think in the prepared remarks. Was the decline in bond interest income simply just due to lower yields?
Martin Hollenbeck: This is Marty. Yeah, lower reinvestment yields, in the wake of the financial crisis 2008, 2009, we really loaded up now out of 10-year non-callable corporate paper, very attractive credit spreads. A lot of that paper is now kind of working its way back out of the portfolio. So it's - while we got some relief on purchase yields, we're still getting hit pretty hard on what we're losing to redemptions.
Arash Soleimani: So with that said, should we expect bond interest income to be down year-over-year for quarters two, three and four this year?
Martin Hollenbeck: It's going to be a challenge. I wouldn't go and kind of predict that just yet, one quarter into New Year. We're putting more money into the taxable end of the bond market. So it's going to be a fight. But it won't be much if we do get any increase. So - and it also depends on what interest continue to do.
Arash Soleimani: Okay. Thanks. And my next question is, you had mentioned that the decline in commercial premiums and from the timing of renewals. But you also mentioned some underwriting discipline. So I guess what I wanted to ask was, to what extent did the decline stemmed from conservatism in commercial, casualty premiums. And can you actually be selective in that line? Given that you're a package underwriter, does that make it a bit more challenging to be selective there?
J.F. Scherer: Arash, this is J.F. Yeah, it does make it tougher and the same would be true on the auto line. We have to weigh the entire package. So there may be lines of business where the auto is unprofitable, the rest of the package is profitable, and the same could be true for the casualty. In addition to the timing, and it can be big at times, some of our largest accounts renew in the first quarter of the year. So the timing issue Steve mentioned in the remarks played into it. I think relative to casualty, there is also some aggressive underwriting that we've been doing, for example, in the nursing homes for example. And they do represent in some cases the largest policies in the company. We've seen some negative trends there. And so, we've non-renewed a fair number, including the largest we had. And the accounts we're keeping, that we're comfortable with, we're getting larger increases on those, upwards of 20%. Opioid distributors or drug distributors is also a class of business. I should say just general drug distributors. But some states now are attacking the manufacturers of opioids as well as the distributors of opioids, drawing them into levels of responsibility that we wouldn't have contemplated. So we're getting off some of that business. So relative to your question on the casualty side, there are some pretty drastic steps that we're taking that affect our growth rate in commercial lines. If I can just take the time just to talk a little bit, just in general, growth of commercial lines. We've also taken a look at certain states for example, where the weather has been uncharacteristically bad. So we're getting off some risks that have large footprints of roofs [ph]. For example, one storey Lessor's-Risk-Only types of buildings that are more of a target, a disproportionate target for hail. Auto in general across the country is an area that we've been working very hard on. As was mentioned, our net rate increases in commercial auto is in the upper-single-digits. Even the mid-double-digits on some of the larger auto fleets that we have that are the most competed for. Yet we're retaining some of those double-digit increases. We measure the dollar inadequacy of our entire book of business, not only by a percentage, but just the total dollar inadequacy, for example on our commercial auto book of business. We've improved that by 53%, that inadequacy. But in the course of being aggressively priced, some of our commercial auto accounts have left and that impacts growth. An interesting statistics, we actually increased our new business in commercial auto, by 1.1% in the quarter. And that was following a 12.9% increase from 2016 to 2017. But the interesting thing was that we ensured 33% fewer vehicles, still got a 1% increase. And the vehicles that we wrote fewer of were the heavy trucks that are causing most of our loss ratio problems. So that's an area once again that affected the growth. Workers' comp as is widely reported, NCCI base rate declines on our book of business amounted to a negative 6.2%. Our net rate changes are not that bad, but still that's a headwind that affects the growth in commercial lines. In the positive area, on growth, we continue, as Steve mentioned in remarks, appointing more agents. Just in the last 3.25 years, we've appointed 287 agencies that represent $5.5 billion in total premium that they write. Submissions are up. The first quarter was a bit of a tough headwind as far as new business. We were up 18% in new business in the first quarter of 2017. But another positive that we would also point out is that our strongest growth in new business is in our lines of business that have the best margins. Management liability for example was up 28.6%, security up 19.4%, inland marine was up 10% in the first quarter. That's carrying a low-70s combined ratio. And that's following a 17.6% increase in 2017. So I hate to get wordy on here on everything. But there is just - there really were some positives, a really great sign from our viewpoint is that on Ohio, our most profitable state, we grew to 3.1% in commercial lines and new business was up 21%. So we're confident about the growth of commercial lines.
Arash Soleimani: Thanks. That was very thorough. And you had mentioned commercial auto a bit. Are we at somewhat of a turning point there, because I also noticed that this was the first time since early 2014 that you guys had favorable development in that line? So are we seeing some more stability there?
Steven Justus Johnston: This is Steve. And yes, I would agree with that.
Arash Soleimani: Okay. And on the workers comp that you mentioned. Do you have any comments, there are some reports of the NCCI pushing for rate decreases related to tax reform in several stages, if you have any comments on that, how much more pressure using that could add existing rate pressure in workers' comp?
Michael James Sewell: I can't say that I could give you any real true color on that. We've read the same thing as you've read. I haven't - and we haven't - I haven't been in any conversations around here as to exactly how much of an effect it could have a lot of reforms, obviously with the kinds of decreases we're seeing in base rates. We have to be careful. In the industry, some careers are paying incentive commissions going after comp very aggressively. I think, we're consistent year-in, year-out talking about comp is that we approach that line very conservatively. The headwinds of the rate decreases certainly are helping loss ratios. So we're just going to continue to be conservative. And make sure our underwriting guard doesn't go down.
Arash Soleimani: Thanks. And just one more, if I can slip it in before re-queuing, you had said in the release that large losses over $1 million were down, but the commercial casualty core loss ratio also increased by large amount as well more than I'd expected. So how do you reconcile those two, where the large losses were down with the core loss ratio is way up?
Steven Justus Johnston: Yes, I would say as we look at, you've seen some of the adverse development in that particular line of business, and our actuaries make to pick for the most recent accident year, they're taking that into consideration. And it was up - I think, it was up about 7.2 points over you pick for the first quarter of 2017. We think that prudent given just what we're seeing in the general trends on the line.
Arash Soleimani: Okay. That's clear. Thank you very much for the answer.
Steven Justus Johnston: Thank you.
Operator: Your next question comes from the line of Paul Newsome with Sandler O'Neill. Your line is open. Please go ahead.
Paul Newsome: I was wondering, if you could just give us a little bit more detail on the non-cat weather. And I'm a little bit - I've seen this year a couple of the other regions I cover have also had sort of similar more issues. And I'm wondering, if it's more small commercial issue, it's more market commercial issue, because we didn't see some of these problems in the large - at least the companies - the large companies that have reported so far?
Steven Justus Johnston: Paul, I think, it may just be around the geography and so forth, because we did have freezing weather in January, there was a cat. But we notice that, we had a couple of cats in January, the total $18 million. The January non-cat weather was $27 million and there were in areas that were, let's say, adjacent, but not within the designated cat. So in areas where we're big, such as Ohio, Indiana, Michigan, Pennsylvania, New York about 57% of those non-cat weather losses were in the state. So I think, it is much. We go by the PCS definition of cat, in terms of everything from date to geography to cause a loss. And we just had losses, majority of them being of the freezing and collapse type they were just around that definition, but not in it.
Paul Newsome: Is there anything to the thought that, it does seem like everyone, at least the small commercial ones to be in small commercial? Again, I know there is this theme [ph] for this quarter, just a lot of companies saying they want to increase the size of their small commercial business. Are we seeing something new and different on a competitive perspective in small commercial?
Steven Justus Johnston: Well, I think, small commercials always being competitive, and that's certainly something that we compete for. And overtime, I don't know that I pick up the general increase right now and appetite for small commercial. But that's not to say, it isn't there, because as I've said over time, everyone is always competed for small commercial. So it's a very competitive space, and I think it will always has been continue to be.
Paul Newsome: Great. Thanks, guys. I appreciate the call.
Steven Justus Johnston: Thank you, Paul.
Operator: Your next question comes from the line of Mark Dwelle with RBC Capital Markets. Your line is open. Please go ahead.
Mark Dwelle: Yeah, good morning. Just few questions. Mike, I think, you'd commented in related to the expense ratio that there was change in the DAC [ph] estimate. That's just one - that's a one-time impact of this quarter, is there an ongoing impact kind of the run rate in that.
Michael James Sewell: Yeah, that's a great question. And - but it is something to begin with that, we do look at our - the deferred amounts or deferred acquisition cost, and how we calculate that on a quarterly basis. And I think, we've indicated that in our 10-K. But we did our refinement in this period, we do survey our people and so forth look at where time has been spend, we do that throughout the year. So with the adjustment this quarter, you're right. It's almost an adjustment refinement in this period. It really should be smooth for the rest of the year, because we're capitalizing less, so what amortized less. And so we should be little smother throughout the year. I haven't really done an estimate of where we think, we'll be at the end of the year. However, I think the 31.9 is high. And we probably end up towards the end of the year slightly higher than where we ended up the full year 2017. So I'd look forward maybe in the 31.3, 31.4 area. But we're going to have to update that throughout the year.
Mark Dwelle: Okay. That's very helpful. Second question still staying in the commercial lines area. So the overall increase in the accident year loss ratio was about 5 points. And if I understand right, 3.5 points of that was sort of non-cat weather related losses are just reasonably understandable. And so then the remaining 1.5 points that's just getting the IBNR's rate and making a good solid loss pick. Or is there some element in mix? Or other change in there that's elevating that relative to last year?
Steven Justus Johnston: That's a very good observation, Mark. And I think, as we look at what we alluded to a little bit earlier in terms of that higher pick for the commercial casualty, as it went up by about 7.2 points for the current accident year. That had an impact of 2.4 loss ratio points for the entire commercial auto current accident years. So I think that that particular pick right there - commercial casualty that makes up the difference right there and then some.
Mark Dwelle: Okay. That's what I thought. And then, the last question I had really just more of environmental kind of question. In the current market environment, where kind of low-ish single-digit rate increases seem to be the broad prevailing theme. Is your three year policy is that relative advantage or relative disadvantage in this sort of market?
J.F. Scherer: Mark, it's J.F. I think, it's a relative advantage. Contrary to popular belief, people don't like to renew their insurance every single year. So I think, we view it year-in and year-out slightly soft markets, slightly hard markets is an advantage for the company, a lot more stability in the rates. We - so overall, when you consider all things, retention of the kinds of accounts we want to keep. The three year policy is a real positive.
Mark Dwelle: Okay. That's helpful. That's all my question. Thanks.
Operator: [Operator Instructions] Your next question comes from the line of Ian Gutterman with Balyasny. Your line is open. Please go ahead.
Ian Gutterman: Hi, thanks. Mark just got one of my question, so just to confirm that J.F. So basically the pressure on the IBNR and commercial casualty is probably continues throughout the year, right, unless something, environment changes. So if I'm trying to think about year-over-year comps until you sort of get to Q4, we should be expecting pressure on the accident year obviously go, obviously forgetting what non-cat or fire might do in the quarter?
Steven Justus Johnston: This is Steve. And good question, Ian. But we look at those every quarter just based on their merits. And just try to pick our best estimate to that particular point in time. So we think we have right now, best estimate for the reserve position for commercial casualty as well as the other lines and for the current accident year, we'll see how the paid losses and claims produce themselves as we rolled through the year.
Ian Gutterman: Okay. But when you put this extra IBNR, I guess, I'm trying to understand maybe sort of the actuarial process. I guess, I'm trying to differentiate, as I guess, maybe between sort of a look at prior year reserves, right. You can see a problem, you can put up extra reserves, and that hopefully puts it in the past versus I would think if you're putting up more IBNR in new business that probably needs to continue at this higher level until the claims trend changes? Or did you sort of put up extra IBNR such a magnitude to sort of cover the full 12 months?
Steven Justus Johnston: I will not say that we put up extra IBNR to cover the full 12 months. I think, we just take it the way we see it. And then, as we see the second quarter unfold we'll just accordingly.
Ian Gutterman: Got it, okay. And then, can you just talk about related to just sort of what's causing these? You talked about sort of types of cases and so forth. But I was hoping maybe you could talk sort of about the - I guess, call litigation environment. But are we seeing, is it just that as the economies gotten better there has been more incidents of things? Or is it really more of - there has been some surprise settlements and - I'm sorry, surprise judgments and therefore the next settlement ends up being higher than in the past? Or is there a more fraud coming through or debatable fraud, I guess, maybe you can prove it. But that's forcing claims up where, it's harder to get in front of them. Just sort of on the ground, I guess, I'm wondering sort of what the trends are. It's basically are there bad actors out there, and sort of what are their tactics is, I guess, what I'm trying to get at.
Steven Justus Johnston: And think, speaking to the commercial casualty, I think, it's where we are hear the question. I think part of it is that - well, as all of the above there are a lot of different aspects of it. But if we look at it, say, an umbrella over commercial auto policies. And as we've seen issues with commercial auto over period of time. That is going to - than manifest itself in development on the umbrella. And so I think that's some what we saw here in the first quarter. We - you might have a late reported December type of commercial auto claim. There is an umbrella attaching. You find out later that the magnitude of it here in March is we investigate the claim and then you are kind of in the position, do you really want to take down that IBNR, this early in the year for unknown event or keep it up. So that you would have, what you would expect to be a sound in prudent estimate. So I think it's more just looking at the individual circumstances. And there are many of them, which you named a few. But I don't think it's anyone particular driver.
Ian Gutterman: Okay. So it's not like there are some new legal theory that plants are running with it, try to pull calls - I mean, they always are, right. But something that's been more successful, I guess, in normal that's poking holes in coverage or like you hear these stories about litigation funding. I don't know, if that's causing more aggressiveness or there is no sort of story like that. It's more sort of the normal stuff and it's just more elevated than usual?
Martin Mullen: This is Marty Mullen. Actually everything has been pretty steady on the litigation environment as far as coverage interpretations, and litigation breakdown. Our book is pretty broad. So the claims on the commercial casualty range from the umbrella over the auto - in commercial auto, which is just a little volatile. As you've seen the increase in commercial auto, the natural increases on the commercial casualty umbrella over that auto kind of walks along with that. But we're in about almost 40 states commercially. And the litigation environment state pretty consistent as far as the pitfalls. But there is really no adverse liability changes in the venues that very significant.
Ian Gutterman: Okay, good. That was my main concern. So if I - I was going to move to investment, but I remember I have one quick numbers question. The decline in the other premiums in the commercial was bigger than usual. Can you just remind me what causes that?
Michael James Sewell: Yeah, for the most part in the others. So that's a reinsurance and then also just some other minor changes. So when you look at it in total 1%, the real driver was the renewals and the new premiums. But it's primarily reinsurance that's in the other.
Ian Gutterman: Okay. And is that most of your Q1 event, or should we expect a bigger drag from that other throughout the year?
Michael James Sewell: I'd say that's probably a little bit more of Q1, I mean, it's - those numbers are so small, it can bounce around a little bit. So yeah, I wouldn't focus too much on it.
Ian Gutterman: Okay. Just making sure. And then, so switching to investment side, I guess, first the accounting change, I get the impact in the quarter on the income statement, I just want to make sure on the balance sheet, it looks like $2 billion plus, one from essentially unrealized gains to retained earnings. Is that the right way to think about it?
Michael James Sewell: Yes, it is. So we move $2.5 billion from accumulated other comprehensive income to retained earnings. And you really don't seeing any other effect. And that was a kind of 1/1/2018, an adjustment that you make at the beginning of the period. So there is really no other effect that you will see on the balance sheet.
Ian Gutterman: Okay. And then $2.5 billion that was sort of accumulative translation, I guess they call it that, right?
Michael James Sewell: Yeah, that's right. And that was net of tax. And so if you look back at our 10-K, in footnote 2 it was about $3.2 billion, I believe of gross unrealized gains related to our equity security. So net of tax that's how you get to the $2.5 billion.
Ian Gutterman: Okay. So the funny thing about…
Michael James Sewell: Now, I mean just - I'm sorry. And realize that that's just, I'll say recognizing for GAAP purposes. We've not recognized a, I'll call it a tax gain for IRS purposes.
Ian Gutterman: Exactly, exactly. So the funny thing about this, Mike, if I'm currently it is, I think for a long time we've all gotten used to sort of book value ex the AOCI being sort stable and book value having swings because of unrealized. Now, I guess, we're going to have two sources of swings. We're going to have bond swings the traditional way in AOCI. And then equity swings they will be essentially through. I mean, they'll go through I guess comprehensive, but they'll end up in retained earnings. So the book value ex-AOCI will have volatility too going forward. Is that the right way to think about it? Does it makes sense with that, what's going to happen?
Michael James Sewell: Yeah, yeah.
Ian Gutterman: Good.
Michael James Sewell: Right, yes. And so, it does add a lot more volatility, which probably doesn't make a whole lot of sense. But when we present our non-GAAP operating income, it's going to exclude the realized and un-realized no matter if it goes through the income statement or other comprehensive income. That will make it challenging a little bit more in the future that you can't just go to the balance sheet to equity and take out AOCI. So there is that split there. We did put into the Q this quarter there is a new chart in there, where we thought it would be helpful to have investment gains and losses. And then we stacked that on top of the unrealized investment gains and losses, which therefore you got your fixed equity, your fixed maturities there and your change in unrealized in the equities would be up in the investment gains and losses. But then you can see the grand total, which for this quarter was a negative $412 million. And then that, you will be able to see ties in with our VCR.
Ian Gutterman: Okay. I'll take a look at that, because I think that's the right way to look at it. If I could - I know I'm going long, but if I could squeeze one more in for Marty. Can you tell me - I could probably add it up, but you probably have it at the tip of your fingers. It seems like technology has become a bigger part of the equity portfolio, just when I look at the positions that have gotten bigger over time or new over time. Do you have that handy and just sort of what your comfort level is of how much tech you're willing to have?
Martin Hollenbeck: Yeah, I mean, it certainly has grown from what was literally zero probably 15 years ago to - it's still below market level. As of the end of the quarter, we were at 20.6% in information technology, which is 22.1% in the SMP. It's always been a tough sector for us to keep up with, based on the number of stocks in that sector that actually pay and grow dividends.
Ian Gutterman: Right.
Martin Hollenbeck: That has improved some. But we also have juggernauts like Amazon, which pays no dividend. Or obviously that's actually a discretionary, scratch that one. But Netflix, Facebook et cetera. A lot of these names we just can't own. So it's a limited pool, but we aggressively pursue, trying to at least approach a market way in that area.
Ian Gutterman: Okay, and the one thing I noticed on it was - it looks like, so you had owned Qualcomm for some time. But it looked like you bought a bunch of Broadcom. Was that a merger arb or was that China buy Qualcomm on the cheap through Broadcom. I'm just sort of curious what the motivation was, given there is a lot of news going on there.
Martin Hollenbeck: Yeah, we actually entered in Broadcom just prior to that merger announcement. We're still kind of checking out where we want to end up with that, those two positions.
Ian Gutterman: Okay, because I saw the combined position has become a big position. That's kind of what I would - so that to me. So, okay, great, thank you for all the time. I appreciate it.
Michael James Sewell: Hey, Ian, before you go.
Ian Gutterman: Yeah, yeah.
Michael James Sewell: Just FYI, so if you look at Page 54, which is in the MD&A, at your leisure; you'll see the new chart and we've broken it out in the details. And we actually indicate what is reported in net income and what's reported in AOCI. So we thought that would be beneficial for everyone out there.
Ian Gutterman: Yeah, that sounds great. I'll take a look. Thank you.
Operator: Your next question comes from the line of Josh Shanker with Deutsche Bank. Your line is open. Please go ahead.
Josh Shanker: Yeah, thank you. Good morning, everybody.
Steven Justus Johnston: Hey, Josh.
Josh Shanker: I want to ask a question about how your underwriters on the ground have flexibility with customers who buy more than one policy from you. To what extent are they pricing the rate change to the customer as opposed to the line of business? And would the pricing of a casualty product affects the pricing of a property product if there is a collection of products within a single customer?
J.F. Scherer: Josh, this is J.F. We model all aspects of the account, the property section, the casualty section, the auto section, the workers' comp section of the policy. So when the underwriter in the field would be quoted on a risk, they're going to get a predictive model score of price adequacy for all of those lines. And as you could imagine, when they couldn't make any discussion to put a piece of business on the books, there can be a little bit of, for lack of better words, horse trading between the lines of business. If you've got something that for whatever reason, we believe models vary adequately priced, 10%, 20% more than what we think. As far as pricing that we're looking at, it gives us flexibility to take away from, let's say, a line of business and give it back to an underpriced side. So it's - we take a look at each individual account, but by line of business. I hope that made sense.
Josh Shanker: What kind of discretion is in the underwriter's hands on the spot to negotiate with the client?
J.F. Scherer: A lot of it depends on the size of the account. If you're working on small business, the model pricing is awfully accurate. It's hard to really disagree with. And so, the underwriter is really probably rarely make or make very little changes there. The larger the account, the less homogenous the account, the more what you would call non-modeled attribute enter into the decision-making process. So in any company, the model only knows certain variables. So if you get a large account that has uniqueness to it that aren't contemplated in model pricing. Then the underwriter has flexibility to change the pricing and be more aggressive for example than what the model pricing might indicate. And by the same token, we have certain classes of business, certain risk that just because the underwriter has inspected the risk, worked with loss control on it, we actually don't like it that much. They'll increase what the model might say. We think it's satisfactory enough to write.
Josh Shanker: And has there been a technology rebuild in last few years that's making that easier to happen or where are you in terms of the on the ground flexibility in the moment for the underwriter.
J.F. Scherer: Well, our analytics area, our PARM that we call it, pricing and analytics, our actuarial department has done, make great strides relative to models, the expansion of the granularity of models, and our ability to communicate to our underwriters both inside and out. The analytics is necessary to make an informed decision. We model our entire book of business on a monthly basis. It's broken down by state. It's broken down by territory. It's broken down by agent. And it's broken down by underwriter and naturally by policy. So I think if you looked at us now versus five years ago, we've done - we continue to make great strides there.
Josh Shanker: Thank you very much for the answers. Take care.
J.F. Scherer: Thanks, Josh.
Operator: Your next question comes from the line of Mike Zaremski with Credit Suisse. Your line is open. Please go ahead.
Michael Zaremski: Hi, gentlemen. Good afternoon.
Steven Justus Johnston: Good. Hello, Mike.
Michael Zaremski: I just wanted to ask one question on workers' comp. So your comments, you mentioned you're being cautious. And clearly that line is shrinking a little bit. But you have also done a great job turning that line around over the last number of years and it looks like it's throwing off a pretty good loss ratio. So I wanted to kind of clarity why you're being cautious. And just also I know that - I think there are some nuances with Ohio in terms of the workers' comp system there. So I wanted to better understand whether you are actually underweight workers' comp as a line of business for the company or is it just a - I'm looking at it, I'm running the numbers the wrong way and I have to do it state by state?
Steven Justus Johnston: Yeah, Mike, Ohio is a monopolistic state. So we don't write workers' comp on Ohio insurance. We have some agents in Ohio that write risk outside the State of Ohio, that we write workers' comp for. So considering the size of Ohio relative to the overall company, that's going to create an underweighting for workers' comp relative to our entire book of business. We've also historically took a very conservative approach on comp. And up until the time, and you make a good observation. We're doing pretty well in comp, thanks to some terrific claims initiatives that we put through, loss control initiatives. And as Josh mentioned earlier, the issue of modeling and analytics associated with the pricing of workers' comp, we've seen it go in the right direction. And when I say conservative, it's not as though we don't want to write comp. We do want to write comp, but we are seeing levels of aggressiveness in certain states and from certain companies that have us shaking our heads from time to time. So, I guess, the point that I wanted to make was that we're pretty pleased with the results we're getting in comp. But there was some mention in the - I think in the industry that it was - comp was becoming soft and it was profitable, now it's closing in on soft and unprofitable. And we just don't want to follow it into the unprofitable side. So we're a writer and we'll continue to be, but we're going to be cautious.
Michael Zaremski: Just to clarity then, are you - let's just remove Ohio completely, are you underweighting the line of business materially or no?
Steven Justus Johnston: I would say compared to the industry, we probably are. I don't know that number off the top of my head. But I think after having years of being especially conservative and not producing very good results, you'd go back into the 90s, when we would work with our agents, we would happily write the package in the auto. And we would suggest to the agent that if they wanted to put the comp with a mono-line carrier that was fine with us. As we've - since because of our capabilities in comp improved, we've also - we've been more aggressive here in the last 10, 15 years. Florida is a state for example that because of the environment down there, we don't write any comp there. And we're not active in California so - in commercial lines. We write some accounts out there from out-of-state agents, but we don't have agents on the ground there. So we'd also don't write workers' comp in the State of California.
Michael Zaremski: Okay, got it. Thank you for the color and all the best.
Steven Justus Johnston: All right, thanks.
Operator: Your next question comes from the line of Arash Soleimani with KBW. Your line is open. Please go ahead.
Arash Soleimani: I think just a quick follow-up on the comment you made on rates. Did you say that rates were stable from the fourth quarter to the first quarter or did you see any acceleration or change?
Steven Justus Johnston: We said they were stable.
Arash Soleimani: Okay. And then just wanted to make sure I understood the expense ratio comments properly. So you said 31.9% is high for the year. So it should come down from here. But the next three quarters should be - did you say that it should be pretty stable?
Michael James Sewell: Yeah, so it was high for the quarter, the 31.9% is high for the quarter. I think for the remaining three quarters, we'll see it a bit closer to where it has been back in 2017. If I were to look at the total - if I exclude what is being capitalized and differed, total expenses divided up by the premiums, it's pretty consistent from first quarter this year to first quarter last year.
Arash Soleimani: Okay. So was this first quarter kind of - you basically said you kind of did an analysis to see, hey, like where people are spending their time and what do we need to capitalize, or is this something that's kind of on an annual basis could cause some volatility, this kind of analysis?
Michael James Sewell: It's something that we actually do. Every quarter we're doing that and so, when it looks like we should actually then make an adjustment we do it. But we do surveys every quarter to make sure we're deferring the correct amount.
Arash Soleimani: Okay, I guess, I was just asking, because this quarter it seemed like it was a bigger adjustment than expected. So, I guess, I was just wondering what caused it to be a larger adjustment this time around.
Michael James Sewell: It's just the result of when we're doing our survey. So I would not view it as extraordinary. I'd kind of focus on a low 31 kind of a run rate right now.
Arash Soleimani: Okay. Great. Thanks for taking the follow-up.
Michael James Sewell: Yeah, great. Thank you.
Operator: We have no further questions at this time. I'll turn the call back to our presenters.
Steven Justus Johnston: Okay. Thank you, Emilie. And thanks to all of you for joining us today. We hope to see some of you at our Annual Shareholders Meeting, which is Saturday, May 5 at the Cincinnati Art Museum. You're also welcome to listen to our webcast of the meeting available at cinfin.com/investors. We look forward to speaking with you again in our second quarter call. Thank you all very much.
Operator: This concludes today's conference. You may now disconnect. Have a great day.